- :
Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Tyco Electronics reports fiscal fourth quarter results. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Instructions will be given at that time. (Operator Instructions). And as a reminder, this conference is being recorded. I would now like to turn the conference over to our host, Vice President of Investor Relations, John Roselli. Please go ahead.
John Roselli : Thanks Ruth. Good morning. Thank you for joining our conference call to discuss Tyco Electronics, fourth quarter results for fiscal year 2009 and our outlook for the first quarter. With me today, is our Chief Executive Officer, Tom Lynch and our Chief Financial Officer, Terrence Curtin. During the course of this call, we will be providing certain forward-looking information. We ask you to look at today's press release and read through the forward-looking cautionary statements that we have included there. In addition, we will use certain non-GAAP measures in our discussion this morning and we ask you to read through the sections of our press release and the accompanying slide presentation that address the use of these items. Press release and related tables along with the slide presentation can be found on the Investor Relations portion of our web site at tycoelectronics.com. Now let me turn the call over to Tom for some opening comments.
Tom Lynch: Thanks John and good morning everyone. Guess you could definitely say 2009 was a challenging year but I feel we really navigated through it very well and we finished strong in Q4 with sales, earnings and cash flow above guidance. Just like to take a second here to thank our 75,000 people across the world for really pulling together during these times and responding to the challenge. I'll briefly recap some highlights of the year and Q4 and then I'll cover the overall market environment before I turn it over to Terrence, we'll go through our Q4 results in more detail. To recap Q4, sequentially sales increased 8% overall and 15% in our electronics component segment. As expected, consumer markets such as auto, computer, mobile phone and appliances showed solid increases and this offset the expected decline in our Undersea Telecom segment. Total company orders were up 25% sequentially with strength across the majority of our end-markets excluding Undersea, bookings were up 12% sequentially and the book-to-bill ratio was 1.05. Adjusted operating income for the quarter was $221 million, an increase of 74% sequentially and importantly our adjusted operating margins improved again 300 basis points to 8.2%. We also had another quarter of strong cash flow, generating 600 million this quarter; this included a $200 million inventory reduction for the third quarter in row. As we entered in and went through the downturn we had four overriding objectives: resize the company to be able to deliver 12% operating margins of $12 billion of revenue. We felt this was the striking the right balance of preserving the tremendous opportunities we feel we have while making sure the company stayed solid. We wanted to accelerate the restructuring program we started two years ago, of course keep the balance sheet strong and stay focused on our strategic growth initiatives. I feel we made very good progress against all of these objectives. Our cost reduction actions in response to the downturn combined with strong execution of the strategic restructuring program we initiated, like before separation generated 300 million of annualized cost savings. And this adds us on track to deliver 12% operating margin at the $12 billion revenue level, what we refer to as 12 to12. With respect to restructuring, we ended the year with 97 manufacturing facilities, versus a 133 when we launched the program. And this is a little ahead of where we expected to be. We also made significant progress in focusing our portfolio around our core connectivity businesses by divesting the wireless systems and battery businesses during the year. And this substantially completes the plan we initiated two years ago. We generated 1.2 billion in free cash flow during the year, driven by working capital turnover improvement and a substantial reduction in CapEx spending. Clearly, when the business falls of, you do get the positive impact of working capital liquidation, but more than that we improved our working capital turnover. And this free cash flow was a little more than three times adjusted net income in fiscal '09. Divestitures also contributed approximately 700 million in cash and addition to the free cash flow. So, this strong cash generation enable us to maintain our dividend, reduce our debt by 800 million and end the year with a cash position of about $1.5 billion. I think just as important, despite all the disruption caused by the economy, the team also stayed focused on our growth strategy, and made good progress strengthening our product offerings across most of our businesses, and over the last six months two year, we've had some very key new platform wins in automotive with our alternative power and activity systems, our high voltage energy, product line that we recently introduced, some key new wins on the new airliners, and the commercial airliners and aerospace and defense and across our communications businesses. Let me now shift to talk a little bit about what we are seeing in our end markets. Our Q4 was our second straight quarter of sequential revenue growth and as I mentioned earlier the bulk of this was in our consumer related markets due to rebuilding of inventory and some increase in demand, and we clearly showed the benefit of stimulus in the automotive industry in all regions of the world. As we enter our new fiscal year, we are in the first month of that actually second month. The visibility is still limited but we are feeling a bit more confident about the improving trends in our key markets. And let me talk about a few of those key markets. In Automotive global vehicle production grew for the second quarter in a row that's the September quarter to approximately 15 million vehicles. Total production in our full fiscal '09 was about 55 million vehicles. Our automotive sales were up 24% in the second half of the fiscal year, compared to our first half. Primarily, due to the stimulus programs and the restoration of more normal production and inventory levels and as you have recalled when the business went down it went down very hard and very fast and inventory was just taken right out of the system, though we are seeing the rebuild of those inventory levels. Encouragingly, our automotive orders in October have remained consistent with what we experienced in Q4. From an industry perspective the latest outlook is that production levels will increase to about 60 million units in our fiscal 2010 which is an increase of approximately 10% over the 2009 levels. And if you saw the October US sales results came out, those annualized results are about inline with a global 60 million unit production level. The increase from 55 to 60 will be, the majority of that increase will be in Asia and that we have a very strong position across all the Asian markets. And in general, with respect to the automotive business, we continue to be very bullish, because no matter where you go and I was in India two weeks ago electronic content is increasing. Whether it's a small car or a luxury car the electronics content is increasing around the world. In our other consumer businesses, which include PCs, handsets, consumer electronics and appliances, we are also seeing a pick up in demand for the second quarter in a row. Again, I think this is inventory being restored in the channel, but we are seeing some in-demand pickup especially in emerging markets. In our infrastructure businesses, which are largely in our Network Solutions segment and this includes our energy enterprise and telecom networks business and demand remains sluggish as companies continue to hold back on their CapEx spending similar to what we've done people aren't spending capital unless they have to. We do think things have bottomed out there and but we don't expect to any pickup until the second half of our fiscal 2010, which would be in the April-May timeframe. In our Undersea business project, activity remained pretty vibrant as telecom operators continue to add bandwidth and redundancy particularly in emerging markets. However, the size of the project as we expected is declining a bit and we do expect the business is going to be down from the billion dollar sales levels of the past two years. Still a very healthy business, but the past two years have been banner years and the business is going to come off that level a bit. Finally in our two key markets, industrial equipment, we're seeing some signs of recovery that went down hard last quarter and the quarter before, lagged consumer a little bit. It is bottomed out and is picking up sequentially a bit. And in our aerospace and defense business, sales continue to be a little soft as air travels down and airline production private and commercial is down. But overall, although business is still down from the 2008 levels, we are seeing improvement and much more consistency in order patterns. Clearly, order levels in our Q1 and Q2 of our current new fiscal year is going to provide a much clearer indicator of where we are in the recovery. So those are going to be two critical points, but no question from our prospective. Things feel better than six months ago and even three months ago. With that, I'll turn it over to Terrence and he'll take us through Q4 in more detail.
Terrence Curtin : Thanks, Tom and good morning everyone. I'll start with slide 4 in the slide presentation, and I'll start by reviewing our sales performance by segment in market, then I'll review our earnings cash flow and liquidity. On the slide, this shows our overall revenue performance by segment both year-over-year and sequentially. Total company sales of $2.7 billion were down 25% in the quarter versus the prior year. Sequentially sales were up 8% with three of our four segments showing growth. The effects of currency translation added 300 basis points to the sequential growth and our businesses that served the consumer markets which is about half of our corporation. Sales increased 17% sequentially. Industrial and infrastructure markets that Tom mentioned continue to show sluggishness, but they do appear to have stabilized, as sales were flat sequentially. Let's turn to slide 5, and I'll cover the segment performance by market, and unless I indicate otherwise, all discussions I'll talk about will be organic. If you look at the left hand side of the slide, sales in our Electronic Component segment declined 24% versus the prior year, with declines across all markets and regions. Sequentially however, we did see sales increase 12% driven by the strength in consumer related markets that Tom talked about. To go into the major markets in this segment, in the automotive market, our sales versus the prior year declined 15% however sequentially, sales were up 14%. We estimate global auto production was up approximately 8%, sequentially which this benefited from the global incentive programs. We also saw additional sales in this market from the continued restocking and the supply chain. Sales sequentially increased in all regions with particular strength in North America and in Asia. For quarter one, we expect mid to high single digit revenue growth sequentially, reflecting further increases in production as well as the positive effects of currency translations. In the computer market, our sales declined 37% versus the prior year and on a sequential basis, sales were up 10% which was essentially in line with end unit shipment data. In the communications market, our sales declined 30% year-over-year more than 1% sequentially. In the communication equipment market, revenues were down 38% versus the prior year and 7% sequentially. In the mobile phone area, the communications market, we saw a decline of 16% versus the prior year with growth of 10% sequentially essentially in line with the global OEM production levels. In the industrial equipment market, sales were down 41% versus the prior year, but up 19% sequentially. During the fourth quarter, order rates began to improve and we expect the slight sales improvement sequentially into the first quarter. And finally, in the distribution channel, our sales declined 29% versus the prior year but we're up 12% sequentially. The order rates have improved in the channel consistent with the trends in other markets and we expect mid single growth sequentially for quarter one. Turning to our Network Solutions segment on the right side of the slide, sales declined 18% versus the prior year driven by continued capital spending reduction by our customers. Sequentially, sales were essentially flat. Now, while there has been a lot of news about stimulus programs in the markets that serve by our Networks segment, we have not seen any significant effect in our sales. We do expect segment sales for the first quarter to be down slightly compared to our fourth quarter. In the energy market, our sales were down 15% versus the prior year driven by lower spending and inventory reductions at utility customers but we did see sales up 3% sequentially. We're expecting quarter one revenues to be similar to quarter four levels. Our sales for the service provider market declined 22% versus the prior year and 13% sequentially due to a slowdown in wire line capital investment in all region, especially in Europe. In quarter one, we expect the mid single digit decline sequentially in this market. And in our enterprise networks market, our sales declined 20% reflecting weak commercial construction markets. Revenues were up 6% sequentially as a result to program wins and we expect our quarter one sales to this market to be flat sequentially. Turning to slide 6 to cover specialty products Undersea Telecom. Sales in our specialty products segment, which is shown on the left side, declined 22% overall versus the prior year. Sequentially, sales were up 4% and for the first quarter we expect segment sales to be similar to the quarter four levels. Sales for the aerospace, defense and marine market declined 23% versus the prior year driven by continued weakness in the commercial aerospace market that Tom talked about. Revenues decline 4% on a sequential basis and while commercial aerospace remains challenging, we have seen sales to the distribution channels at this market which is about 30% of our business stabilize during the fourth quarter. In our touch systems business, sales were down 25% versus the prior year due to capital spending declines in the retail market. However as expected, business strengthened sequentially with revenues up 11% driven by growth in the retail and industrial markets. Turning to our medical products business. Sales decreased 16% versus the prior year as we continue to be affected by reduced spending by medical equipment customers. Revenues were down 2% sequentially. And lastly, in our circuit protection area, sales declined 19% versus prior year or were up 24% sequentially. As sales to the consumer related end markets such as automotive and mobile phones continue to improve, consistent with the trends we're seeing in the consumer markets and the component segment. Now looking at the right side of the chart, in our Undersea Telecom segment, sales declined 11% versus the prior year and 16% sequentially to $268 million. We did book a project in the Middle East called [Gov. Ridge] for approximately $300 million in the quarter. We expect to begin work on this project in the second quarter and this project will continue into fiscal 2011. This project solidifies our expectation for full year sales in the $600 million to $700 million range. Bid activity has improved recently and if we're able to win additional projects over the next six months, it could provide upside to this range depending on the timing of the project. We ended the quarter with the backlog of $920 million which was an increase of about $100 million from the end of quarter three and for quarter one, we expect sales of approximately $200 million with margin in the mid teens. Now, let me discuss earnings which starts on slide 7. Our GAAP operating income for the quarter was $176 million which includes restructuring and other cost of $45 million. These cost included a $33 million of cost primarily related to both footprint and headcount reduction actions that we previously initiated. In addition, we signed an agreement to sell a small business in our Network Solutions segment and incurred a $12 million impairment charge in the quarter related to this divestiture. This business had annual sales of about $50 million with operating margins in the low to mid single digits. We expect this divestiture to close by the end of the calendar year. Adjusted operating income was $221 million with an adjusted operating margin of 8.2%. This is the second consecutive quarter of solid improvement as our adjusted operating margins have grown from 3% in our second quarter to 5% in the third quarter for the current 8% level. We are solidly profitable in all four of our segments and the fall through on the sequential sales increase continues to show the benefit of our actions. Adjusted EPS for the quarter was $0.30 a share, which is up 76% from the third quarter reflecting the growth in the operating income. In addition to the restructuring and the impairment charges I just mentioned, adjusting items also included a $0.04 gain on the early retirement at debt related to our debt tender completed at the beginning of the quarter. This is reflected in our P&L as a $22 million gain in other income and $3 million expense in interest expense. The gain reflects both a discount from the tender price versus the par value of the bond and the unamortized gains on the debt retired. We also had a $0.09 of tax items which reflects the effect of various tax matters in the quarter including a tax settlement under our tax sharing agreement. I will provide further details on this later. Let's move to slide 8. Looking at the top side of this slide, our gross margin declined 200 basis points versus the prior year from 28% to 26%. Volume declines related to the 25% year-on-year decline in our sales reduced our gross margin by 400 basis points. We also continued to reduce our inventory levels in the quarter. The impact of lower production levels to achieve the inventory reductions reduced gross margins by an additional 200 basis points. Our cost reduction actions were able to partially offset these negative effects of both volume and production and added 400 basis points to our gross margin. Comparing our gross margin to last quarter, it increased from 23% to 26%. Higher volumes in the Electronic Components segment were partially offset by the expected volume declines in lower margin sales mix and the Undersea Telecom segment. As a result the net volume effect was 100 basis points of improvement, while we did reduce inventories in the quarter, the negative effect on the P&L was positive versus last quarter by 100 basis points. And finally, cost reduction added a 100 basis point sequentially to our gross margin. Looking at the middle of the slide, operating expenses which include both RD&E and SG&A were down $82 million year-over-year or about 15%. Excluding the effects of currency translation, we reduced our operating expenses by approximately $70 million to a combination of headcount reductions and spending controls. Operating expenses were up 2% versus the third quarter driven primarily by the sequential increase in sales. As sales continue to increase there will be a modest increase in our operating expenses. And finally as Tom mentioned, our structural cost actions of $300 million to achieve 12% adjusted operating income on a $12 billion of sales on track. Now turn to slide 9 and let me discuss items on the P&L below the operating line. Net interest expense was $36 million versus $39 million in the prior year. As I mentioned earlier included in interest expense was $3 million of expense related to the early retirement of debt, excluding this expense net interest expense would have been $33 million down $6 million versus the prior year as a result of lower debt levels. Other expense was $55 million which included two adjusting items. The first is an $86 million expense primarily related to the settlement of a pre-separation tax liability. And the second is the $22 million gain on the early retirement that I discussed earlier. When you exclude these items, adjusted other income was $9 million. And for quarter one I expect this will be approximately $11 million of income. The GAAP effective tax rate was 1% in the quarter and the tax rate on adjusted income was 28%, which was slightly higher than we guided. Going into next year, we expect the tax rate on adjusted income of approximately 28%, reflecting the continued progress in separation on leveraging our structure. The GAAP rate was impacted by various tax items including the settlement of a pre-separation tax liability. This settlement affected both the GAAP other income and the income tax expense lines. This settlement is not a full settlement of our pre-separation tax liabilities, a rather settlement on one matter. This settlement has not changed our view on the eventual size of our portion of the shared tax liabilities. As we previously communicated, as individual items get settled under the tax sharing agreement, it will create volatility both positive and negative on our income statement. Now let me turn to free cash flow, which starts on slide 10. Our free cash flow in quarter four was $608 million, up from $437 million in the prior year quarter. Lower income levels were more than offset by the reductions in working capital and capital spending. Our day sales outstanding of 66 days were essentially flat both versus the prior and sequential. Our inventory days on hand, which excludes construction in progress, were down 13 days year-over-year and eight days sequentially to 59 days. As volumes begin to return, we do expect inventory days to move back into the 60s which is a substantial improvement over the 72 days where we ended 2008. We spent $58 million on capital on quarter four, which is down from prior year levels of $165 million. For the full year, our capital expenditures were approximately 3% of sales as our capital spending focused on tooling for new programs. In fiscal 2010, we expect capital spending to return to the low-end of our historical spending level of 4% to 5% of sales. Cash restructuring in the quarter, was $60 million. And full year cash restructuring spending was $260 million. For fiscal 2010, we expect cash restructuring spending of approximately $300 million. For the full year fiscal 2009, our free cash flow was $1.2 billion inclusive of the restructuring spending I just mentioned. This compares to $1.3 billion in 2008, which included $76 million of restructuring spending. Our 2009 performance demonstrates the strong cash generation of our business model, and we are very pleased with how our team performed this year. As we look to the future we continue to expect that our free cash flow will approximate net income in a normal growth environment. Our adjusted cash tax rate should remain around 20% for the foreseeable future in the favorable difference versus the expected adjusted effective tax rate of 28% should offset the working capital increases as volume was returned. Let me now cover debt and liquidity which is on slide 11. We began the quarter with about $1.3 billion of cash and ended the quarter with $1.5 billion. Uses of cash during the quarter included debt reductions from the tender of $141 million, dividends of $73 million. Voluntary pension contributions of $61 million and cash payments related to pre-separation litigation matters of $52 million. The Litigation payment was related to a P&L charge we took earlier in the year and the voluntary pension contribution we made of $61 million was an addition to our normal contributions of $84 million that made during 2009. The $61 million that we made was the level of contribution that made economic sense in light of the asset declines we saw in 2009 in some of our plans. For fiscal 2010, we expect our contribution will be at under normal level, which is below $100 million as our plans remain well funded. While the pension funded status declines will not significantly affect our pension contributions for 2010, it will impact our pension expense. We estimate that our pension expense will go up by about 50 million in 2010 and we'll be about $160 million for the full year. And at quarter end, our debt balance was $2.4 billion down from $3.2 billion last year. Our balance sheet is solid and in the short-term we will continue to maintain a higher level of cash to preserve flexibility. And finally, we maintained our quarterly dividend to $0.16 per share and our shareholders have already approved payments for the first two quarters of fiscal 2010 at $0.16 per share. Now let me hand the call back over to Tom.
Tom Lynch: Thanks Terrence. We'll now go to slide 12, up just quickly sum up our outlook for our first quarter of fiscal '10 our sales will be in the range of 2.7 billion to 2.8 billion. Organically this is flat sales, compared to Q4 with continued strength in the Electronic Components segment which we expect to be up 3% to 5% sequentially being offset by 25% sequential decline in Undersea. We expect adjusted operating income to be in the 250 million to 280 million range, which is an increase of 13% to 27% sequentially. The continued improvement of sequential profitability is primarily due to the improved leverage on the volume increases in the Electronic Components segment again partially offset by the sales decline in Undersea. And this should result in gross margins in the 27% to 28% range which is up from 26% in Q4. Our adjusted earnings per share, from continuing operations are expected to be $0.35 to $0.39 sequential increase of 17% to 30%. So just wrapping it up, tough economic year, we feel a year of good operating performance and also a year where we strengthen the company's strategic position. Don't want to have to go through another '09 again, but I think again thank our team for really doing a great job pulling together and getting through it. So, with that let's open it up for questions.
Operator: (Operator Instructions). And the first question comes from the line of Shawn Harrison with Longbow Research. Please go ahead.
Shawn Harrison - Longbow Research: Hi, good morning Tom and Terrence. Congratulations on the quarter. First question I have just is regards to just kind of ongoing incremental benefit from both restructuring as well as the decline in inventory reductions. With the inventory reductions maybe add another 100 basis points to the operating margin sequentially, and then on the restructuring versus the end of fiscal '09 how much on a dollar basis is left in terms of benefits in 2010 given large amount of cash cost to come.
Tom Lynch:
 L:
Terrence Curtin: Yeah I mean when you look at to Toms first part of the answer on the margin Shawn, when you go sequentially what we really had going on here, was about half of the benefits further inventory we assume production will be balanced with volume in quarter one so that's about half of the improvement in the operating margin. And then the other half is cost action, when we go sequentially from quarter four to quarter one there is about $15 million of saving that you can basically annualize to $60 million from an exit rate coming out of quarter four from a restructuring perspective.
Shawn Harrison - Longbow Research: Okay and then beyond the first quarter is there anything above that $60 million annualized that we shouldn't model?
Terrence Curtin: Add is what you should include in right now things that are happening anything new we start well could come later in the year and trail into '11.
Shawn Harrison - Longbow Research: Okay and then second just on follow-up, usage of cash flow, I know there has been some talk on prior calls about acquisition opportunity, may Tom you could speak to what you're seeing in the market place in terms of acquisition opportunity and kind of where you're trying to pinpoint some bolt on acquisitions?
Tom Lynch: Well, obviously the last couple of years we have been in the divestiture mode to get the company a lot more focused and tied around our connectivity business. We have developed a pretty robust acquisition pipeline, I would say. So we think in certain markets, particular areas like energy, aerospace and defense, medical, there is opportunity there. I'd say the markets are starting to come back to life a little bit there. In terms of our cash, we need about $500 million to run the company. We'd like to keep a couple of hundred million [sure terms] profit this as well. If we need to reduce the debt further right now, we don't need to do that, but we're carrying about $800 million, I'd call it strategic flexibility which gives us the opportunity to look it up acquisitions as the right one through there and if not, we talk to the board every quarter about how much should we hold and how much should we return. So, our thinking hasn't really changed.
Operator: And the next question comes from the line of Matt Sheerin with Thomas Weisel Partners. Please go ahead.
Matt Sheerin - Thomas Weisel Partners: I just wanted to just ask about what you're seeing in terms of the demand picture. Obviously the quarter was better than seasonal, your guidance on the electronic side looks better than seasonal. And I know its difficult for every one to figure out the difference between to demand and restocking, but do you have a sense that this whole restocking phase of the recovery cycle here is behind us or is there still a little bit of that left?
Terrence Curtin: I think there is still a little bit of it left, but certainly that has been closed quite a bit in Q3 but especially in Q4. So, just based on our order rate and the [extabate] by our customers of us, I think that a lot of our customers are still feeling that their inventory levels are too low. I think as you go around the world, emerging markets, that were stimulus, but there is also real demand there and I think its just a little more uncertain, although it feels better in the US and Europe.
Matt Sheerin - Thomas Weisel Partners: And I know obviously visibility is still pretty tough, but would you expect given that the restocking phase is ending here and we don't really know what demand is going to look like that? You could return to more seasonal levels in the March quarter or is too early to tell what March is going to look like?
Terrence Curtin: I think it Matt, is still a little too early to tell. Like I said, we feel better than we did three and six months ago, but we also know the way where these things tend to go. Now that people are coming back, everybody is trying to protect little bit against the upside and we're making sure, we don't over react to that.
Matt Sheerin - Thomas Weisel Partners: And just lastly, just in terms of your capacity and ability to meet customer orders. I know you've been hearing across the supply chain of some lead time stretching, some distributors scrambling for parts. Are you seeing that in any of your business?
Terrence Curtin: Yeah, we are scrambling a little bit too. Its really more material related. Its hard as things went down in the component segment and a lot of companies, everybody pushed inventory out and it just takes a little bit longer to get that back. But the good news is, sequentially in Electronic Components, we're in 14%-15% sequential growth the last two quarters. So, we're coming up pretty fast, but clearly, in some cases not as fast as our customers want us to. But we don't have any fundamental capacity issues bricks and motor or people and the way reflecting on the people side is being careful using overtime things like that, slowly adding folks back into the mix until we feel a little more solid, but its more chasing material.
Matt Sheerin - Thomas Weisel Partners: But you're not concerned with any double ordering that possibly happens?
Terrence Curtin: We're watching it carefully. I would say we're really watching that carefully. It's hard to discern that at times, I suspect there is a little bit of that going on, but we reflected that in our Q1 outlook.
Operator: And the next question comes from the line of Amitabh Passi with UBS please go ahead.
Amitabh Passi - UBS: My first question has to do with, if I look at your guidance it looks like you are now approaching sort of $11 billion on an annualized run rate for revenues and about 10% operating margins. And just to get to your 12 at 12 model, it still looks like the implied incremental operating margins are north of 30%. If I back up the restructuring benefits, I don't know $60, $70 million. Looks like you're still looking at incremental margins of sort of mid 20s. Is that the right way to think about your model on a more normalized basis once we return to normalized revenues and get a lot of the restructuring benefits behind?
Terrence Curtin: I think you're looking at it right on Amitabh. The only thing I would say is we are getting some benefit of currency translation right now. That is creating, as Tom about; we do guidance for the quarter again about 500 basis points of growth Q4 to Q1. That's the only weird part of the calculation right now, because you don't really get real flow through on that. You just get translation. But the way you are thinking about the model is correct and like we talked about in the call, before the 12 at 12, where we're fully lined up for where we are exiting the year.
Amitabh Passi - UBS: And then my second question had to do with your Undersea Telecom. Let us assume that business at some point transferred it down to sort of $500 million annual run rate. Can you still do double digit operating margins in that segment?
Terrence Curtin: Yes. It would be on the top as we talked about before, when you look at that, it would probably be in the 10% to 11% with how we built the business and structured the business. So, from that view point, we can definitely be in double digits at the low end of that $500 million level.
Amitabh Passi - UBS: And then just my final question, when you talk of your 12-12 model, even if I adjust your peak revenues which are approaching or I guess you did about $14.4 billion and if I adjust for Undersea Telecom instead of assuming your segment north of $1 billion, let's assume its $500 million. It still implies that your revenues will be down about probably 14% - 15% from where you were at the peak levels, whereas if I look at some of your peers by 2011, they will sort of be back to their peak levels of 2007-2008. Would love to get your comments in terms of why you think there is still this large discrepancy between actually what's implied the consensus estimate, your target model versus your peers and if there's a chance that your 12-12 could prove conservative?
Tom Lynch: I guess I can't comment on my peers. If you just look at automotive as an example though, in 2008 there were 72 million cars produced, 2010, 60 million and most of the folks who do the forecasting, they don't think you'd get back to $72 million until probably 2013. So, I don't think most people are viewing that absolute business levels are going to be back by 2011 to where they were in 2008. I haven't heard anybody say that. I think the most important thing though is we are positioned to manage well I think whatever the volume levels are. We do store excess capacity, but yet we still have plenty of capacity to grow past where we were in 2008 as you said in the [14/3]. And if you look at the margin leverage, we are close to 150, 200 basis points better then where we were as a result of the actions we've taken.
Operator: The next question comes from the line of Jim Suva with Citi. Please go ahead.
Jim Suva - Citi: On your outlook for the next quarter, is that pretty much based upon a annual automotive production unit of $60 million or is it still kind of on the increasing part occur for that?
Terrence Curtin: If you look at quarter one, Jim, quarter one auto production in the $60 million Tom talked about is about $16 million units. So, if you look at it, there is probably about a million more units in Q1 than just $60 million divided by 4 which would be 15. So, there is still a little bit of production bump here in quarter one to [about up] 6% from quarter four. So, there is a little bump there, but it is $60 million, it's not too much.
Jim Suva - Citi: And to reach your 12-12 goal, do you think you can get there at $60 million or could you actually get there with a little bit less than global auto units at $60 million?
Terrence Curtin: We would need more than $60 million, Jim.
Jim Suva - Citi: And what would that level be for more than $60 million?
Terrence Curtin: It would be closer to $63, $64 million.
Jim Suva - Citi: Okay, great. And then just a quick…
Terrence Curtin: (Inaudible) more growth.
Jim Suva - Citi: Quick clarification on the tax rate, I though I heard 28%, but then I thought I heard 20%. Which ones of those should we use for going forward?
Terrence Curtin: 20% Jim is the cash tax, right? And the 28% is the adjusted tax rate. As you know, when we separated, our tax rate was in the mid 30s and we continue to work on planning and I know the tax rate has been very volatile this year just due to our earnings that have been volatile this year, but 28% in the environment we see right not is what you should use for 2010.
Jim Suva - Citi: And my last question, you've worked on inventory pretty aggressively in the past three or four quarters. Are you at a point now where we should start to see inventory increase or stabilize or what's your inventory outlook?
Terrence Curtin: You should expect to see inventory increase a little bit and our days are going to increase a little as well. So absolute dollars will go up because revenues are going up a little bit, but we need to put a little more into the channel and into our production here.
Operator: Next we'll go to the line Craig Hettenbach with Goldman Sachs. Please go ahead.
Craig Hettenbach - Goldman Sachs: In the automotive space, can you talk about things you are doing from a competitive stand point through this downturn? Whether it's a design? If I think about automotive and the pressures it's been, there is companies are deemphasizing that market. So, just really looking for ways that you would be able to capitalize on that and particular may be potential resources you are putting towards that as that market ultimately will recover.
Tom Lynch: Well automotive is critical to us. As you know, we have a very strong position there and it's taken a long time to build up that position because of the demands of the customers and appropriately so. We protected engineering in that organization despite the significant downturn. At one point, our business was down 55% in revenue globally just three quarters ago and we are very, very focused as ever from an engineering sales and marketing point of view. We haven't changed our attitude and I think we actually from a strategic point of view, strengthen our position through the last year in terms of some key platform wins and definitely evolving our alternative power and connectivity system in all parts of the world. And so, I liked our position, we've always been strong there and I actually feel we are a little stronger than we were a year-ago. And from a cost structure point of view, that's where a lot of this heavy lifting on the restructuring had been which is to reduce our excess capacity. Our automotive team has a very good track record of productivity improvement, but we weren't taking the unnecessary fixed capacity offline (inaudible) and we've made a lot of progress on that in the last 18 months. So, I think, strengthen our position to grow, strengthen the portfolio of products and reduce our fixed cost structures. And the profitability, the automotive business has come back quickly. It's not the way it was two years ago and the business is lot higher, but the team got it back on track much faster than one might have expected with that kind of downturn.
Craig Hettenbach - Goldman Sachs: And if I could follow up, you mentioned orders ex-Undersea Telecom up 12%. Can you just give some color about linearity through the quarter and then in the current quarter on the order rate level and then also, just what you're seeing in the pricing environment as we make away to the trough of downturn here?
Tom Lynch: That means the pricing is actually pretty strict. Well, let me answer that. The pricing has not changed. I mean certainly, the consumer electronics markets are always been the most aggressive but our price erosion is still sub 2% and really has not moved and so that hasn't changed. Craig on your order question, really what we saw from an order prospective and our quarter four results show that, as we exited quarter three, orders were stabilizing as we talked on our last call. We saw a little bit of a step up in September and that order level has continued into October. So, October order trends are very consistent with September and slightly up from where we were in the July and August earlier in the quarter. So, from that viewpoint Tom talked about the consistency of orders and certainly that consistency has been in our component segment as well as the networks and specialty product segments.
Operator: And next we will go to the line of Wamsi Mohan with Bank of America. Please go ahead.
Wamsi Mohan - Bank of America: Can you perhaps talk a little more about the automotive business by region? Specifically, is the content for car beginning to recover somewhat and given that the last majority of growth that you're projecting in fiscal '10 is coming from Asia? How worried are you about a negative mix shift from a content for auto perspective?
Tom Lynch: I guess a couple of things. I think if you, content per car, you really have to look at it at a granular level. From what I mean by that is, I don't think in any car, any category of vehicle, content is not going down. It's going up everywhere. Even the small cars are adding more features like analog breaks, in some parts of the world where that hasn't been prominent for electronic stability control, certainly entertainment, more airbag. We see that trend everywhere. Even in areas of the emerging markets. And as I mentioned, I was just in India and talking with a couple of our big automotive customers there. They've actually been surprised a little bit with the resiliency of the mid sized cars and folks are still demanding more features and no question I think you're going to see probably a little bit of a higher growth rate in smaller cars because the emerging market is where the higher growth rates are. But on a vehicle basis, look for content to continue to grow. Slight impact on the averaging of mix, so the average content per vehicle but not significant couple of dollars per vehicle may be in the grand scheme of things. That's kind of $100 million, $120 million revenue. So don't see anything really negative there. The real question is, what's the growth rate going to be in the US and Europe. I mean I think its back on track in Asia and the fundamentals are pretty straight forward there and as we are all wrestling with in the west, what is the real state of these economies.
Wamsi Mohan - Bank of America: And on the raw material side, both with sort of gold and copper so pretty high elevated levels, can you update us on you current hedge levels for those rise?
Tom Lynch: Yeah Wamsi, as you know, as we went through this, we were overly hedged and we actually finished burning up all our positions here in the fourth quarter related to copper. So, you actually look at 2009, our net copper cost was around $2.70, $2.80 a pound and right now with where we are fixed through basically the first six months 2010, we are at a similar level. So, copper is really a non-factor right now, with where it's at in our fixed positions. When you look at gold, gold certainly has a little bit of a head win, not major. We are hedged out for the first six months around $900 to $1000 an ounce. So we had a little bit of benefit versus market for year-on-year to slight headwind, but not much. So, right now raw materials are included at the rates I just talked about when we look out and it's not a big positive or negative.
Wamsi Mohan - Bank of America: Specifically a guidance that anticipated a charge of 75 million on the quarter and you guys recognized 45 million from a restructuring charge standpoint. And your guidance is now calling for 60 million charge in fiscal 1Q which is actually up sequentially; can you talk about what's driving those dynamics please?
Terrence Curtin: Its just timing [only]. Some of these charges that we are taking or relate to actions that we have already have initiated as well as may be an action we wanted to do here in quarter four that will leak into quarter one. So it's just timing between the quarters.
Operator: Next we will go to the line of William Stein with Credit Suisse. Please go ahead.
William Stein - Credit Suisse: Just a little bit more on the restructuring I think your comments earlier suggested that we get the last of the benefits in the December quarter and I think you said [million] sequentially or 60 million annualized. I had thought that these were going to extent out and continue to benefit the P&L above all the other benefits from higher revenue and better [growth in] cost from inventories, stabilizing but how we are going to get that into March. Is that changed now or is it, have the benefits, more the benefits been realized or more than coming into December from March.
Terrence Curtin: We benefited quicker than we expected from a cost action prospect, so we have been able to complete things from that view point we do get some things done quicker. Some of the closures we did in the automotive area Tom talked about we completed earlier than we expected from our prior guidance when we talked a few quarters ago.
William Stein - Credit Suisse: And then also can you update us on your efforts in distribution I think historically the company has been perhaps over franchised, I think you have been taking some actions in that regard, if you can talk about that will be helpful?
Terrence Curtin: As you know that's been a key focus for us over the past year plus to build more strategic relationships under strategic channel than we have in the past that's moving along nicely. We are still in the first phase of doing that, so I expect it will continue to happen over the next three to six months, but it's well underway and that we are feeling very excited about where this is probably is going to help us.
William Stein - Credit Suisse: Wondering also if you can perhaps quantify a bit about what this scrambling for deliveries you discussed earlier would have been in the quarter in terms of, perhaps what revenue could have been if you could deliver to your customers demand then also whether that meaningfully affecting lead times and ASPs for the company overall?
Terrence Curtin: I would say if we were at our normal sort of delivery rate, we would have had 20 million to 30 million more of revenue in Q4. But, that's a big if because as you know when things go down that sort, and then come back, it just takes time to climb the pump. And we are working hard to do it because at the end of the day the most important thing is to keep the customers happy and so I think we are making progress, but we are still not caught up as much as we'd like to be.
William Stein - Credit Suisse: And on the lead times in ASPs, I would assume lead times are certainly extending themselves your bookings would suggest, trade bookings were up a lot more than what your guiding revenues to go up and so I assume that meets backlog extending lead times extending is that right and then also any is it supporting ASPs here is there any talk of raising prices in this environment?
Terrence Curtin: There is no kind of across the board talk we are always evaluating where our pricing is but pricing really more moves in conjunction when it does with commodity cost increases and as you know they are not that easy to get either, so no there is no sort of across the board pricing because of the supply demand and balance. In terms of the lead times I would say if you wanted to average it we probably a week to two weeks outside on average, and a lot of areas we are okay in some areas we are worse than that, but on an average we are probably a week 10 days I would say longer than normal.
Operator: Okay thank you and next we will go to the line of Steven Fox with CLSA please go ahead.
Steven Fox - CLSA: Thanks good morning just two quick questions one just trying to understand the plans for the footprint going forward and may be this is a better question for the analyst meeting but just getting a sense from where you stand versus potentially other restructurings down the road and or just naturally weaning some plans out. And then secondly it hasn't been much conversation around just sort of selling into corporate equipment the data comp market it sounds like you are fairly conservative on those markets at least to the spring, can you just talk about what you are seeing specifically may be in the box of servers versus may be outside the box with cables etcetera.
Tom Lynch: Let me talk the data comp I think the market is starting to come back I would say historically in the box we haven't been that strong, we put up higher priority on that strategic as a strategic focus area about three years ago. And the product line that we started to introduce about six to nine months ago a range of high speed products. I think a very, very competitive probably more so than we have ever been and in terms of strategic position I think we are getting better but we are still feeling the effect of not being a major player there I means its an important player, but not one of the top couple, and so we made progress but we are still not where we want to be there I think from the cable side that's the strong (inaudible) for us. On our enterprise business we have had a two or three really good years, I mean that business has been [off] a little bit but in the [server] areas its still pretty strong, so you know we connect in the enterprise we are in the network, so we have a pretty robust position there which I think has actually run stronger over the last couple of years.
Steven Fox - CLSA: And Tom how do you feel about the market right now in that area? If you can just go back over that a little bit more?
Tom Lynch: Enterprise right now is still, its flat its been down, its flattened out in the last couple of months that's one of those that I mentioned that I don't think we are going to see an upturn from the current levels for another quarter or so. And that the outside the box fees I think its coming back a little bit faster in the inside the box fees which would cause data comp or communications infrastructure, but we expect to see that the inside box for us to be up sequentially next quarter.
Terrence Curtin: And then Steve on your restructuring of footprint comment couple of things I mean you said it could very well, early in December when we have our investor day we will get into it more detail, where we are right now though is 97 facilities. We have that are in process that will pay for the bulk of 2010 to complete and that gets us in the low 90s I guess it has been in the high 80s or low 90s when we are done. Completing most of it here in '10, maybe a little trickle into '11, but like we already said this was a three year program. We have accelerated it, the increase that so from that view point will give you a more full update in early December but despite currently in process.
John Roselli: We'll still take few more questions please.
Operator: Next we will go to the line of Amit Daryanani with RBC Capital Markets. Please go ahead.
Amit Daryanani - RBC Capital Markets: Thanks. Tom, you were talking about, I think auto production being partially up about 10% in 2010, and it's going to be fairly Asia centric. Could you maybe help us provide or maybe provide a frame book in what you think your auto business would do if production is up 10% next year and its Asia centric?
Tom Lynch: Generally I would say, with good track to that maybe a little higher than that. We are strong in Asia. Europe our largest market share is in Europe, our second largest market share is in Asia and that share has been increasing over the last several years. So, again if you would take that five million units, it probably splits about three million in Asia; 1 million Europe, 1 million US. So, it's not all Asia, but clearly the larger proportion of the increase is Asia.
Terrence Curtin: I think the key thing to your question Amit is we average around $60 a content per vehicle, certainly we may, we get hit to Tom's point a couple of bucks due to mix, but then you have to take that against the 60 million vehicles if that comes true. So, I think that's the way to frame it properly as you are modeling.
Amit Daryanani - RBC Capital Markets: Fair enough. And then can you just talk about if there any possibility, you start the new fiscal year about revisiting the share buy back option and if you don't go about [that] could you talk about what the bigger priorities are for the cash you generate going forward?
Tom Lynch: We still have about $600 million open on the share buyback authorization from the board that we carried over and of course we suspended that due to circumstances. We really want to get another month under our belt, two good solid quarters of sequential improvement and demand picking up in our big Electronic Component segment. Kind of the proof will be in putting under recovery in the balance of this quarter and early next quarter which we are optimistic about, but think its still too early to go back into the program. And as I said its something we it's a very important topic with our board. Like you can tell from our first year, we don't sit on the cash, so we are not going to just sit on it, but I do think we are better positioned and we are more ready than we were a year ago and have been more focused on how do we strengthen the company strategically through inorganic moves. The first 18 months were very focused on the divestiture side the last six to nine months have been much more focused on the pipeline in the areas that I mentioned like energy and medical and aerospace besides its not exclusively those but certainly those are and our enterprise business those are important markets where we have nice good solid market position and we would like to strengthen our position.
Amit Daryanani - RBC Capital Markets: Got it and then just finally I think you talked about 500 basis points of benefit on the revenue line from FX sequentially is there any impact on the EPS line?
Terrence Curtin: Its very minor its because that how it falls through it would be less than a penny.
Amit Daryanani - RBC Capital Markets: Fair enough thanks a lot guys and congratulations on the quarter.
Operator: The last question will come from Brian White with Ticonderoga.
Brian White - Ticonderoga: Just on the material side you are scrambling to get materials what specifically is difficult to procure?
Tom Lynch: Its across as you know we start with base materials that come through whether its metals, resins and anything. So anytime in those base metals the lead time in those could be up to a month so that's pretty much across the board Brian.
Brian White - Ticonderoga: Okay. Then when we think about the December quarter you have a great outlook in the auto market I think typically its somewhat seasonal your peers had a great September quarter just like you did, but then they are going to succumb to seasonality in the December quarter, why do you think you are out performing in the December quarter versus your peers?
Tom Lynch: I mean I can only, I won't say it relative to peers just; what we are seeing is the backlog is pretty robust in the automotive business right now. And we are (inaudible) into it so there is still we pushed a little bit last of the inventory rebuilt and auto is almost 30% of our business that went down three quarters ago it was fairly tough it went down so much harder than any other market almost twice as far, twice as big a fall as any of our other market so I think we are just seeing the return to a little more normal level albeit to a level where we were in 2008.
Terrence Curtin: Yeah and Brian I would just speak up along seasonality right now certainly we have over time a pretty straight forward season of pattern in our businesses and as we are coming out of this I would caution new in seasonality until we get sort of stabilization like Tom talked about as we looked to next couple of quarters.
Brian White - Ticonderoga: Okay and when we think about the China market within Asia do you feel like you are the number one player in the connector market within China.
Operator: Okay. And no further questions. Please go ahead.
John Roselli: Okay, well thanks everyone for joining us this morning. The IR team will be around all day for any follow-up questions you may have, and everyone have a good day.
Operator: Ladies and gentlemen, this conference will be made available for replay after 10:30 a.m. Eastern Time today until November 11th, 2009 at midnight. You may access the AT&T executive playback service at any time by dialing 1-800-475-6701 and entering the access code 117013. International participants may dial 1-320-365-3844. That does conclude our conference for today. Thank you for your participation and for using AT&T Executive Teleconference Service. You may now disconnect.